Company Representatives: Kevin Clark - President, Chief Executive Officer Bill Burns - Chief Financial Officer Buffy White - President of Workforce Solutions and Services Steve Saville - Executive Vice President of Operations
Operator: Good evening ladies and gentlemen and welcome to the Cross Country Healthcare Earnings Conference Call, for the fourth quarter and full year of 2019. This call is being simultaneously webcast live. A replay of this call will also be available until March 19, 2020, and can be accessed either on the company's website or by dialing 800-294-4406 for domestic calls and 203-369-3231 for international calls and by entering the passcode 2020. This call is being recorded. If you have any objections, you may disconnect at this time.  I will now turn the call over to Bill Burns, Cross Country Healthcare's Chief Financial Officer. Please go ahead, sir.
William Burns: Thank you, and good afternoon, everyone. I'm joined today by our President and Chief Executive Officer, Kevin Clark; as well as Buffy White, President of Workforce Solutions and Services; and Steve Saville, Executive Vice President of Operations.  Today's call will include a discussion of our financial results for the fourth quarter and full year results for 2019, as well as our outlook for the first quarter of 2020. A copy of the press release is available at www.crosscountryhealthcare.com.  Before we begin, we need to remind everyone that certain statements made on this call may constitute forward-looking statements. As noted in our press release, forward-looking statements can vary materially from actual results and are subject to known and unknown risks, uncertainties and other factors, including those contained in the company's 2018 annual report on Form 10-K and other quarterly reports on Form 10-Q, as well as other filings with the SEC. The company undertakes no obligation to update any of its forward-looking statements. Also, comments made during this teleconference reference non-GAAP financial measures, such as adjusted EBITDA or adjusted earnings per share. Such non-GAAP financial measures are provided as additional information and should not be considered substitutes for or superior to measures calculated in accordance with U.S. GAAP. More information related to these non-GAAP financial measures is contained in our press release. With that, I will now turn the call over to our President and Chief Executive Officer, Kevin Clark.
Kevin Clark: Thank you, Bill, and thank you to everyone for joining us this afternoon. This call marks my first full year since having returned to Cross Country and I am incredibly proud of the progress we have made.  2019 was clearly a successful turnaround year for the company as we gained momentum throughout the year. We met or exceeded guidance for all four quarters, and thanks to the strong performance, especially in the fourth quarter, we reported modest full year organic revenue growth on a consolidated basis. None of this would be possible without our more than 1,700 employees who have fostered a culture of change and embraced our core values. I am grateful to our outstanding team.  Let me just touch on some of our accomplishments. For me, it all starts with our people. Not only have we hired and aligned the right leadership across the organization, but we have continued to attract top talent from across our industry. The reason we have been successful in this regard is simple; it's the culture we are building at Cross Country that inspires people to want to join our team. We give our team the tools and training they need to be successful and we celebrate their success.  Another significant accomplishment has been the consolidation in total refresh to our brand. By consolidating for more than 20 disparate brands down to one core brand, Cross Country Healthcare we have strengthened our go-to-market approach and our better position to deliver the full depth and breadth of our services to clients and professionals alike. Let me just add that the change has been well received both internally and externally. Throughout the year it was necessary to make some difficult decisions to reduce costs in order to fund much needed investments in our revenue generating capacity. Overall, we cut nearly $15 million, the majority of which we invested back into the business, boosting our revenue producing capacity and other support. I'm thrilled at how quickly we are seeing the return on our investment.  From a liquidity perspective we refinanced into a more flexible, cost effective, $120 million credit facility that scales with our business. And from a technology perspective, we successfully implemented the first phase of our new applicant tracking software system to a division within our travel nurse business.  As we have previously shared, we expect that when fully implemented, these investments will result in improved employee productivity and shorten the ramp up time for new hires. This new phase of our implementation went very well with minimal disruption to the business and with the software now live, we expect to gain valuable insights that will inform our efforts to deploy the platform across the rest of the travel nurse business in mid-2020.  I am confident we have selected the right technology partner to provide a scalable platform as one component of our larger technology ecosystem that we expect will drive continued growth across our business. Of course our efforts don't stop there. We are truly reimagining delivery in the digital age. There are so many exciting technology initiatives underway here at Cross Country and I am very pleased to announce the very first of those efforts.  Later this month we will be launching Cross Country Marketplace, an on demand staffing platform for our per diem division. Marketplace is the first proprietary intellectual property the company has created and introduced to the market in many years. We are piloting this new application in several of our largest local markets, connecting our local healthcare professionals and hospitals.  One of the goals I stated when I returned to Cross Country is that we needed to simplify and improve the candidate experience and make it easier and more intuitive for healthcare professionals who are mostly millennials to connect with their ideal job. We look forward to sharing more about this new offering and other innovations as we progress through 2020.  After a year of driving successful change, it's important to celebrate these and many other accomplishments, including the five recent Best of Staffing Award we received from Clearly Rated for both clients and candidates. I think it is a testament to the strength of our brand, our market position, and the outstanding service we deliver every single day.  Next, let me spend just a moment discussing the trends we are seeing. Demand for our services continues to rise throughout the fourth quarter, especially in our Travel Nurse business where orders were up 17% sequentially, and up more than 50% over the prior year.  Orders related to our managed service program clients or MSPs account for a portion of the increase, but we continue to see strength in the broader market. Another good indication that the market remains strong, was growth in spend under management from our MSPs, which was up 18% over the prior year and 2% sequentially.  As new accounts continue to ramp, we saw our capture rate at MSPs also increase to 61%. The increase in the capture rate was due in part to the investments we made throughout the year in revenue producers and equated to about $5 million in revenue during the quarter. We continue to believe that improving our capture rate remains an opportunity to continue to grow faster than the market. And lastly, our physician staffing business also reported stronger than expected performance as days filled were up 8% compared to our expectations.  While the marker remains strong and we are seeing traction from our investment in 2019, we understand that we must continue to execute, and we build upon the early success from this turnaround. This team will continue to work hard and evolve our strategy to become the leading Total Talent Management Provider.  And before I turn the call over to Bill to walk us through the numbers in more detail, I'd like to make a few comments regarding the coronavirus. As widely reported, this is a very serious illness with a growing number of people in the United States being infected. Our concern is and always will be the safety and protection of our employees, health care professionals, their families, and the patients we serve.  With that in mind, we have been closely monitoring all reports and guidelines from the CDC and we have open lines of communication with our employees, including establishing a hotline for their enquiries. Additionally, we have established protocols for employees returning from outside the United States and we are carefully reviewing all non-essential corporate travel.  We have also had many conversations with clients regarding both our business continuity plans, as well as potential staffing challenges. Similar to other spikes in flu seasons or labor disruptions, we could see an increase in demand for healthcare professionals, but at present there has been little to no impact on our business. At this point we are uncertain how our supply of healthcare professionals may be affected as we continue to navigate through this uncertain and unfortunate circumstance.  Regarding our first quarter guidance, while the normal seasonal trend is for revenue to decline sequentially in both Nurse and Allied, as well as physician staffing, we are expecting continued year-over-year mid-single digit consolidated revenue growth. I am optimistic about the prospects for continued growth in all our lines of business and expect to continue to drive improved profitability throughout 2020. We begin the year with one brand, one vision, as on Cross Country.  And with that, let me hand the call back over to Bill. 
Bill Burns: Thanks Kevin. As Kevin mentioned, we exited 2019 on a very positive trend, having exceeded our guidance of both revenue and adjusted-EBITDA.  Turning to the quarter, consolidated revenue was $215.1 million, up 7% over the prior year and 3% sequentially, driven primarily by strong performance in our largest segment Nurse and Allied. An additional driver of the year-over-year performance was a double digit revenue growth experienced by our physician staffing business.  Revenue for Nurse and Allied was $191.4 million, up 7% from the prior year and up 3% sequentially. Consistent with the prior quarter, the primary driver for the year-over-year growth was an increase in the number of FTEs on assignment. Additionally we experienced a 2% increase in the average bill, driven by favorable pricing and mix. Though our clients continue to be very focused on their continued labor spend, we are seeing modest increases in certain geographies and for certain specialties. Considering the robust demean and tight labor supply, pricing remains a big focus for us as we enter 2020.  As I mentioned a moment ago, our physician staffing segment had a strong quarter, far exceeding our expectations. Revenue for the segment was $20 million, representing a 10% increase over the prior year and a modest 2% sequential decline due mostly to seasonality.  The year-over-year growth was due to double digit growth in advanced practice specialty, and mid-single digit growth for physicians. Gross profit margin for the quarter was 24.7%, representing a 50 basis point decline from the prior year, and a 30 basis point improvement sequentially.  The year-over-year decline was primarily driven by lower bill pay spread with the Nurse and Allied as average pay rate rose by 3% compared to the bill rate increase of 2%. The sequential improvement was due partly to a favorable mix as our Education business which operates at higher margins grew following their summer break.  Also contributing to the sequential increase was a favorable experience in workers compensation and professional liability. Total SG&A was $45.6 million for the quarter, up 1% over the prior year and 3% sequentially. The sequential increase was primarily due to higher employee related expenses, as well as professional fees.  Throughout the year we continued to pursue cost reductions in order to fund investments that could drive organic revenue growth, and as planed the net result was realized saving of approximately $2 million in 2019. As we look into 2020, we expect to continue identifying additional cost saving opportunities for both the centralization and automation, as well as potential benefits from the full deployment of our new Applicant Tracking system across the rest of the travel business.  Adjusted EBITDA for the quarter was $8.3 million above the high end of our guidance range, driven largely by the overseas overachievement on revenue mentioned earlier. Below adjusted EBITDA, there are a few items to call out. We continue to recognize restructuring costs, primarily associated with severance expenses.  In addition we recognized $1.5 million pertaining to the refinance of our credit facility earlier in the quarter and finally depreciation and amortization was $2 million higher, extending from our rebranding efforts.  From a balance sheet perspective, we ended the quarter with $1 million in cash, which was down versus the prior year and private quarter since we have moved to an asset based revolving credit facility, which can be redrawn. Cash from operations was negative during the quarter, principally due to the investment in working capital on the sequential growth in the business, as well as the timing of the release of payment year end.  Our day sales outstanding remain unchanged from the prior quarter at 58 days. For the full year we generated cash from operations of $5.5 million, which was lower than the prior year. The drivers included approximately $4.5 million for significant expenditures throughout the year that related to items such as the termination of our hedge, legal settlements previously reported, higher restructuring costs, as well as operating expenses pertaining to the new applicant tracking system.  In addition the timing for the year end resulting in pre-funding an estimated $4 million towards 2020 pay roll. Finally while DSO improved for the year, the sequential revenue growth resulted in networking capital investment of approximately $3 million.  From a debt perspective we closed the quarter with $71 million of principal outstanding and $19.9 million in undrawn letters of credit. This brings you to our 2020 first quarter guidance. Our outlook is for revenue to be between $207 million and $212 million, reflecting a year-over-year consolidated growth rate of between 6% and 9%.  Included in this guidance is for Nurse and Allied to report mid-single digit revenue growth and for physician staffing to report both double digit growth. Sequentially the range assumes the normal seasonal declines in Nurse and Allied for FTEs on assignment following the holiday season, as well as the normal seasonal decline in physician staffing.  Also for the first quarter we are seeing increased demand for certain specialties, as a result of a worsening flu season. We estimate the impact of the first quarter to be between $1 million and $2 million. On a related note, we continue to monitor the coronavirus situation with our clients and professional, and at this time we are not expecting any impact for the first quarter. From a profitability perspective, gross margin is expected to be between 23% and 23.5%, which is down quickly primarily due to the impact from the annual payroll tax reset in our Nurse and Allied business.  Adjusted EBITDA is projected to be between $4.5 million and $5.5 million, which represents a 25% to 52% increase over the prior year, and adjusted earnings per share is projected to be a loss of $0.03 to $0.0.  Also implied in this guidance is $3 million of depreciation and amortization expense, excluding approximately $750,000 of accelerated amortization due to the rebranding, $1 million of interest expense, $1 million of stock compensation expense, $200,000 of income taxes and a diluted share count of 36.4 million shares.  This concludes our prepared remarks, and at this point I'd like to open up the line for questions. Operator?  Operator, if your there, if you could please open the lines for questions. 
Operator: Absolutely. [Operator Instructions] At this time we have three questions in queue. Our first question is coming from A.J. Rice, Credit Suisse. 
A.J. Rice: A.J. Rice. Hi everybody! First, I was wondering on your Nurse and Allied business, when you describe those growth trends, is there divergence between what you're seeing at the branch business level versus the travel level? 
Kevin Clark: Yeah, I mean we're seeing kind of – we're seeing all lines of business are up quarter-over-quarter, year-over-year. So we're seeing kind of a consistent increase in demand across travel nursing, allied health, as well as our local per diem for instance. 
Bill Burns: A.J. this is Bill, just a modest difference. You know the travel nurse grew slightly faster, both in that mid-single digits, just north of the 5% to 6%. So travel nurse grew a little bit faster about 8% and the rest of the business was kind of up in that 6%. 
A.J. Rice: Okay, I think in the prepared remarks it was referenced a couple of times, hospitals willing to look at modest increases to rates due to demand. You are seeing modest increase in pricing. I guess I would just ask, I know this has been a topic of discussion for a while now. Are hospitals seeing the tightening to the point where these increases are enough you think to drive incremental supply into the market or is it still – you know we're inching up, but we haven't yet sort of hit that triple wire where we’ll see a meaningful uptick in the number of nurses that put themselves up for these type of assignments. 
Kevin Clark: Yeah, it’s a great question. We are seeing some higher bill rates, especially in our kind of premium specialties, but there is resistance on these health systems. They are pushing back as much as they possibly can. If you look at the overall macro trends, admissions are up 3% nationally, their revenues are up 6% and it's certainly an area where we're partnering with our clients in terms of kind of walking them through the scarcity of supply.  Buffy, you might want to add. 
Buffy White : Yeah, absolutely, thank you. So I definitely think the conversations are increasing as far as what the tightness in the supply is driving. We are having more conversations with healthcare facilities on what the market intelligence is telling us on where market rates are growing.  I think we have made some strides as you can hear on some bill rate increases. I think what that can do, is potentially impact where nurses want to go versus the influx of nurses into the supply market, and also we can maintain nurses within the profession, who overtime we've seen some folks flee the progression or the profession into other industries.
A.J. Rice: Okay, and maybe one last question. I know this is mostly just a lot of speculation at this point, but when we talk about the coronavirus and try to compare that to other examples, of either really severe flu seasons or other unusual disease outbreaks, I do recall that there were times where the demand spikes very quickly for hospitals wanting to make sure they have adequate staffing and also be willing to pay a premium price for that.  The one thing I did remember was did it effect the supply in any significant way? The nurses see the increased rates and step up and take the assignments or is there fear from traveling in an environment where there is some uncertainty about what they are going to encounter. Just your perspective on that will be helpful. 
Kevin Clark: Yeah, I mean it's an outstanding question. You know I think, the color there is, you know if bill rates increase, we will definitely, I think in our judgment we’ll see the supply enter the market place. Corona is a little different and that it’s a fluid situation. It's just impacting the United States. There is a lot of fear at the moment in terms of kind of a population health. But you know, I think we take the altruistic view of our healthcare professionals, nurses, doctors. Allied health professionals join this profession to take care of sick people and the professionals that work for us, I mean just in chatter amongst them, we think are here to serve.  Buffy, I don’t know if you want to add to that. 
Buffy White: Yeah, I would agree. A very fluid situation, but we're already in discussions with many healthcare facilities, looking at business continuity plans, rapid ramp plans to make sure that we can care for – help them care for the patients. We are in discussions with them on rate considerations and what is going to drive supply in the areas most impacted by this, especially as their senses potentially goes up or they are impacted by quarantine. So we are advising that there is going to be potentially some rate impacts, which will allow us to drive supply to them.  We're spending a significant amount of time through our staff clinicians, especially our Chief Clinical Officer monitoring the situation, keeping everyone informed including our colleagues, our healthcare professionals, as well as our healthcare facilities, and continue to work through or plans so that we're ready no matter what becomes of coronavirus. 
A.J. Rice: So, that will be my last. Let me just – you promised me on other. Is the nurse that would get sent into an environment where there is an outbreak, like what's happening in Washington State or something? Are those just a standard registered nurse or did they have to have special training before you send them into that situation. Any thoughts on that? 
Buffy White: Yeah, at this point it depends upon whether we're sending a nurse into replace somebody who potentially has been impacted or where they are seeing their senses going up. So the hospital facilities have not been able to define specifically the specialties that they are in need of, potentially you will see respiratory, potentially you'll see some of the ER, but unfortunately it's a little too early to tell. 
A.J. Rice: Okay, alright thanks a lot
Kevin Clark: Thank you. 
Operator: Our next question is coming from Jason Plagman, Jefferies, speaker your line is open. 
Jason Plagman : Good afternoon. Just wanted to ask – follow up on you know – you mentioned a little bit of compression in bill pay spreads in the Nurse and Allied segment. Are you expecting that to persist throughout 2020 or are there signs of that bouncing back as you move through the year?
Kevin Clark: Yeah, I mean it's hard to say. You know so far we see it just as I mentioned earlier in terms of kind of premium rate increases around certain specialties. We'll see how coronavirus impacts bill rates. Some of our – in discussions with some of our customers and partnership with them, we're discussing crisis rates and what higher bill rates might need to look at to attract the supply that they'll need to kind of in terms of meet their impact. 
Bill Burns: And Jason, this is Bill. I’ll just add to that, just to clarify the bill pay spread, still expanded. A 2% increase on the bill rates and a 3% increase on the pay rate still means more gross profit. So we just had margin compression, not gross profit compression as a result of that, just to clarify. 
Jason Plagman : Got it, that makes sense. And as far as the percentage of premium rate assignments, I know you don't want to get into specifics, but it sounds like that's been trending higher for the last couple quarters. Any color you can provide on trajectory and kind of where we are relative to where that kind of peaked out a couple years ago, that would be helpful? 
Kevin Clark: Yeah, I mean I’ll let Bill answer that in a minute. But I would just say look, overall, with for example our MSP spend under management rose about $50 million over the course of the year, 18%. Our consolidated growth was up 7.1% year-over-year. We had sequential growth, as Bill pointed out. The gross margin is basically flat other than this paid-to-bill compression, but I wasn’t here two years ago Bill, so if you could.
Bill Burns: As you know Jason, we saw that trend declining. I would say that it's probably bottomed out and it's starting to move forward, but there's always a mix components. So just as an example, if you compare our third quarter to our fourth quarter, our third quarter had some favorability from large EMR projects that garner a much higher bill rate, but that tapered off.  So despite that that, project type EMR business going away in the fourth quarter, we still managed to grow year-over-year at a nice clip. So it's – I guess it will always bounce a little bit depending on what the mix of underlying businesses is. 
Jason Plagman : Okay, that's helpful. And then, the last one from me. I appreciate the update on the MSP business, driving the capture rate higher, but can you just comment on what you're seeing as far as market place activity for our hot health systems looking, exploring MSP partnerships or moving in that direction. Are you seeing – are those number of conversations in your pipeline for potential MSP contracts picking up or how is that trending? 
A - Kevin Clark: I’ll start that one Jason. Yeah, in terms of our pipeline, it's solid. It has definitely picked up from earlier you know last year and you know so we actually are pretty pleased with where our pipeline is. I mean we finished the year you know onboarding a number of new contracts, especially in the northeast and southeast we had a number of large systems come aboard and Buffy, I don’t know if you want to add some color there.
Buffy White: I do, yes. So we’re seeing some nice growth there. I'm also very encouraged by the pipeline. I think what we're hearing from clients, new clients looking in this area is you're looking at more of the program moving from Gen 2, even Gen 3. They are looking for more maturity in client delivery models, seeking enhanced services kind of across their continuum.  There's also new stakeholders at the table during these elections of who will be the next provider beyond nursing, supply chain, HR, finance, etcetera. So we're really eager to offer the full suite of services, inclusive of people, process and technology, the total talent management moving forward. 
Jason Plagman : That makes sense. And that, you know those discussions you’re having with those clients there, so it sounds like some of those are moving from you know a vendor neutral situation or is it more switching to MSP providers or is it people you know adopting a strategic partnership for the first time. 
Buffy White: I would say yes to all of those, but we are still seeing what I call Gen 1, which is the first to adopt for them, of the MSP. Definitely there's some vendor neutral MSPs out there where the client is now looking at that staffing component being really a potential win for them given the supply constraint, and then definitely those looking at MSP’s and what more can they get from a different provider.
A - Kevin Clark: And the MSP model is the dominant market model versus EMS and as Buffy pointed out, our total talent management approach, our go-to-market strategy is really working, our ability to bring all of our services to customers let us you know broaden the set of services that we provide. 
Jason Plagman : Great, thanks. 
Operator: Our next question is coming from Jeffrey Silber, BMO Capital Market. Please go ahead.
Jeffrey Silber: Thanks so much. I wanted to start focusing a little bit more long term. Kevin, I believe when you came onboard you talked about targeting; I think it was an 8% EBITDA margin target. You know we're one year into it and you’ve made a lot of progress. Can you talk about what you need to get there and maybe give us some sort of timeframe of when you think you'll get there? Thanks. 
Kevin Clark : Yeah, so when we called out you know, we implemented a strategic plan with the board and the management team in the second quarter last year and we kind of walked through a scenario where we can get to high single digits by the end of 2021, and you know get to kind of that 7% to 8% by 2022 on kind of a run rate basis, and the way we get there is largely from the capital investment that we're making across our digital transformation and the tools that we are implementing, leveraging more automation and efficiency and driving greater employee productivity.  For example, you know our revenue producing employees, recruiters, account managers to the extent that we can see the average book of business, the number of healthcare professionals that they manage on a daily, weekly, monthly basis increase, because you know they are using technology that lets them work in kind of an innovative, modern, real time environment, we think will you know be well on our way to getting to those you know aspirational goals of high single digits EBITDA margin over that time period. And you know obviously, we also – you know as we pointed out in the script, we took $15 million of cost out, we're investing in the front end of the business in terms of revenue producing employees, we reinvigorated the culture, the leadership, the management team here. We feel we’re a whole new different business than we were 14 months ago when I came in. The management team has done a spectacular job getting momentum building and getting all lines of business turned around.  One of the things we've also talked about that we are very excited about is our M&A process of looking at accretive, tuck-in, strategic opportunities in really principally four to five areas. We’ll continue to look at the adjacent lines of business that have higher growth rates and higher gross margins such as Allied Health, Locums and our Education and our RPO business, and we’ll also be looking at technology. You know technology businesses that complement the world that we're going into.  You know if you look at the hospital marketplace, the trend is towards virtual healthcare. I read a report this week that talked about the last 10 years for hospital systems was focusing on readmission risk, the next 10 years is focused on preventing admissions and really focusing on how to treat patients and treat them right in their home, and our ability to be innovative and invest in technology and deliver those type of services that can deliver our talent where they need to be, I think will all factor into our ability to drive greater profitability. 
Jeffrey Silber: Great! You actually answered my second question before I had a chance to ask it, about acquisition, but let me go focus that more near term and sort of go back to coronavirus but I've actually had some clients ask me this.  Given the timing of it, and I know there's a lot that’s still unknown. You know since this seems to be happening more in the spring time as opposed to the winter, do you think it might be a little bit easier to find nursers or to find healthcare professionals to handle it. Obviously we don't know you know what the extremes are going to be, but because of the timing, might hospitals be able to do this a little bit more on their own without using staffing firms? 
A - Kevin Clark: Yeah, I don't think so. I think we're actually more important than we've ever been to our clients. They need us; they need the investment that we're making in talent acquisition. We have the most, latest strategies around things like programmatic advertising and other ways that we find talent online and we're making investments that largely these health systems may not have a significant investment in. I think the average hospital system spends 1% in HR, you know and this is obviously a big part of what we provide.  So I think that we’re very much needed right now. We have a lot of conversations going on. We've had a lot of this just in the last two weeks. Our activity has picked up in terms of the dialogue amongst our – especially our MSP partners. 
Jeffrey Silber: Okay great, thank. 
Operator: We have the next question coming from Tobey Sommer, SunTrust. Please go ahead.
Jasper Bibb: Hey, good afternoon. This is Jasper Bibb on for Tobey. I wanted to ask about winter needs and what you're seeing in orders for the fourth quarter. Thank you. 
A - Kevin Clark: You know as we mentioned earlier, you know orders are up sequentially 17%, up 50% year-over-year. This time of year we typically see a seasonal decline in overall orders, but orders are up you know double digit. So you know the backdrop continues to be very strong Jasper from ex the coronavirus, which is you know a new item for the whole world to deal with. The backdrop economically is very strong; the dynamics in our industry, all the segments that we are in are growing 3% to 5%. It's an $18 billion industry that's expecting growth this year.  So we like our position in the marketplace. We like the fact our theme this year is one vision, one brand, one Cross Country, the ability to bring all of our services to bear for our customers and helping them address their needs. But you know within the travel nurse industry there is definitely a seasonality as the Sunbelt Hospitals tend to hire up and put their orders in in the fall and then those travel nurses go to work, especially in January, and we see our orders decline, but proportionally year-over-year we’re up. 
Jasper Bibb: Thanks. And then it looks like a good quarter for physician staffing. Could you touch on you know where you are and the turnaround for that business and any additional investment or operational improvements you're anticipating there?
Kevin Clark: Sure. I’ll – a few highlights and then I’ll turn it over to Steve. We're really, really proud of Cross Country Locums. We’ve rebranded our division; we turned the whole business around. I got a lot of questions a year ago. It was, are we going to sell the business; is it you know a core part of our portfolio and emphatically we said yes, it is. It’s very important to total account management and our ability to bring all our services to bear.  We continue to see strong demand across not just the physician segment, but advanced practice and you know I could call out a few areas like anesthesiology and hospital medicine, but Steve, do you want to provide some more color?
Steve Saville: Sure, thanks Kevin. Hi Jasper. You know we exited 2019 obviously on a different trajectory than we entered 2019. It's been a really good year. The turnaround as Kevin mentioned has been pretty measurable. The leadership at the – within the office, as well as the team's commitment to excellence has been outstanding; excellent execution.  And so, you know our revenue in the fourth quarter was very strong. As bill reported earlier, was up over 10%, almost 10% year-over-year gain. You know while we had a nominal step back sequentially, which is typical for the season, still above expectations. This team continues to execute exceptionally well and we're moving into this quarter with continued high demand and continued execution across the business. 
Jasper Bibb: I appreciate the detail. Thanks guys. 
Operator: Our next question is from Kevin Steinke, Barrington Research. Please go ahead. 
Kevin Steinke: Hey, good afternoon everyone. I wanted to talk a little bit more about the capture rate. You mentioned that got up to 61% and added about $5 million in revenues, and I think you linked that directly to your investment and revenue producer. So can you maybe just talk a little bit more about the dynamic and what you see the opportunity for increasing the capture rate is going forward? 
Kevin Clark: Yeah, you know I’ll start Kevin and let Buffy also add. You know first and foremost, you know at Cross Country we reorganized, restructured the business and I'll say in terms of capture rate it was one of our key performance initiatives to improve it over the course of the year. And I'd say, one of the key intangibles is focus. Management had a relentless focus on working with, in particular our MSP clients and customers and ensuring that we're able to meet their delivery needs. 
Buffy White : Yeah, I'm very encouraged about our capture and our focus on our MSP customers. So growth is really coming from the rebounding volume within our existing customers, as well as our new MSP wins that continued to ramp-up.  And really this is part of when we go into the turn-around we focused on a restructuring. We did invest in new recruiter teams to complement our volumes. We restructured compensation plans that were driving the right behaviors, the right focus area, organizationally aligning people to making sure they are focused on those orders. But again, it comes down to giving them the right visibility and being just laser focused on those customers and that is really making the difference. 
Kevin Steinke: Okay, that sounds great. And then, just on the gross margin guidance for the first quarter, I know you mentioned the typical annual payroll tax reset. But looking back historically the sequential decline that you're guiding to is maybe a little larger than historically. So are there any other factors we should be thinking about there? 
Bill Burns: Yeah, just as you start the year off, you know we're looking at other increases and some of the cost items that are in our numbers, you know just things like health insurance. We've had some lumpiness with that throughout 2019 and in prior years. So we're looking at slightly higher run rate there, but the majority, the vast majority, the step back in margin is the payroll tax reset. It's about 75 basis points step back, just from that alone.  And one other point, just the fourth quarter sequentially as we called out also did have some favorability from workers comp. There was about a $1 million in the quarter from workers comp and health insurance, a net benefit to the quarter. So we are not…
Kevin Steinke: Okay, alright, okay. Yeah, that makes sense. Okay, thank you. And then lastly I guess, you mentioned your Cross Country marketplace initiative for the per diem market. It still sounds like early days there, but maybe can you just talk a little bit more about how you envision that working and the opportunity that you see there? 
Kevin Clark: Sure. We're rolling out this new technology later this month across six regions the pilot the technology and essentially what this is, is an on demand application that lets our healthcare professionals with the – especially a mobile device look for and select in real time, open jobs based on the employers that we have partnered with in a local or regional market place.  Today 60% or so of our healthcare professionals are millennials and the device of choice is a mobile device as opposed to – and texting I might add verses you know even getting on the phone and talking to a recruiter today. So we want to have a streamlined, easy, candidate experience that lets them find their next job with the most efficient process possible, the fastest you know delivery of that job for their consideration.  And on the client side, it's just important for the client, you know our ability to expedite our talent to open jobs and fill needs faster is a big important part of the strategy. So we’ll pilot this technology in the six regions and then we'll roll it out nationally over the next 12 to 18 months and longer term we believe that the market place app will be something we'll deliver across all of our divisions. 
Kevin Steinke: Okay, that's helpful color. Thank you everyone. 
Kevin Clark: Thanks Kevin. 
Bill Burns: Thank you. 
Operator: And the last question comes from Bill Sutherland, The Benchmark Company. Please go ahead.
Bill Sutherland: Thanks, and hello everybody. Just a follow-up on the on the Cross Country Marketplace. So as you think about what it can do as far as the percentage of jobs that it can take care – you know the fills that it can take care off. Any thoughts – can it be something you know in the double digits? 
Kevin Clark: Well, Bill that's a great question. I look forward to answering it you know in future earnings call. I'll tell you, I'll be happy to provide what we're seeing in terms of traction in the market place and our success and what the uptake is for our healthcare professionals, but you know we are very optimistic.  First of all, you know on demand staffing software is a platform that's emerging in many segments throughout the staffing industry. In this particular segment, healthcare, we want to be the pioneer, we want to be the most innovative company. We think we're using the latest technology available, but it's exciting for us to kind of bring to the market at Cross Country. But I think the first time in probably 25 years or so, our own proprietary technology, so we're very proud of that. 
Bill Sutherland: And then, when you look at what you're doing this year to drive revenue, will there be additional revenue producers, as well as the increased productivity or maybe you want to wait as far as what we should think about. 
Kevin Clark: Yeah, that's a great question. I'm hoping for both, because what we plan on doing in terms of adding revenue producers this year is throughout the year to optimize the work force that we have based on the demand we're seeing and the number of jobs that we're able to full for our customers.  So you know we last year had kind of a catch-up year where we right sized the recruitment staff by increasing the number of recruiters and account managers and sales people. Now it's more about just optimizing that work force.  And then, we firmly believe that the technology investment that we're making, which is considerable as we mentioned earlier will lead to employee productivity gains and we'll see you know the book of business with our revenue producers increase, due to the automation and efficiency of the tools. 
Bill Sutherland: But the tools probably won’t really start to impact until next year don’t you think. 
Kevin Clark: I think that’s a fair summation. You know we rolled out our applicant tracking software system to one of our divisions in November. It went very smoothly. From that we are able to have lessons learned in terms of onboarding, the balance of our organization in mid-2020. But I think it's fair to assume that the productivity gains would be very late this year and into next year. 
Bill Sutherland: And I guess this is for Bill. Are you – additional plans this year as far as expense reductions and then what would you – and if so, where would you direct it? 
Bill Burns: Absolutely! Our job is never done in that regard. We're not at the margins we want to be at and we recognize that there still some efficiencies to be had. If you recall last quarter, we talked a little bit about as an example credentialing just being one of our focus areas.  Within the Nurse and Allied business we've got multiple teams. We are aligning those on common proxies and looking at new technologies there as well, to automate and help streamline that and make it as efficient as possible. But that's certainly not the end all, be all. We're going to continue to look at all overhead and all corporate functions to continue to try to drive as much out of the cost out. 
Bill Sutherland: Okay, so there is not like a targeted number of things you would… 
Bill Burns: We haven’t called out a specific target for this year. I can just say it as a priority for us, we're going to continue – I would expect that we’ll continue to see restructuring charges as we move throughout 2020, as we continue to identify new opportunity, but we haven’t sized a new plan as we did last year. If you recall last year, we continue to upsize that plan all throughout the year, and ultimately close the year with realizing $15 million in annualized savings. 
Bill Sutherland: And I believe, I just wanted to make sure I was clear, because in your prepared remarks Bill, you said 13 of that was reinvested?
Bill Burns: That's correct, the realized number – remember, we invested ahead of the savings. So we got the savings, we overdrove on that, but we ultimately realized $2 million last year. 
Bill Sutherland: Okay and the last form me, just commentary on fill rates, for both businesses, kind of you know, I guess mostly interested directionally if it’s – I know you're doing a lot to improve it at a company level, but just wondering about the demands of the marketplace and how that’s – just you know how it's trending. 
Bill Burns: Yeah, I mean look fill rate is important to us. It's a challenge. There is a scarcity of supply of healthcare professionals. So we're deploying you know all of our you know innovation and strategy in brainpower to be you know the most agile in terms of reaching healthcare professional where they are in the cycle. But you know, within an increasing demand. You know I think we're optimistic that bill rates will continue to improve over the course of the year and that will attract a bigger supply, but it's a challenge for us. 
Buffy White : Yeah, I would agree. I think it is very much about candidate engagement, how quickly we can get them through the cycle, is it a nurturing cycle, is that attractive for them. On the other side, we are relentless in having discussions with healthcare facilities around making fast decisions, making an easy onboarding process and allowing us to get the supply there fast, the shelf life obviously is very short. So we believe we have to work both sides in order to get that fill rate up.
Bill Sutherland: Yeah that makes a lot of sense. Thanks everybody. 
Kevin Clark: Thanks Bill. 
Bill Burns: Thanks Bill. 
Operator: This concludes the question-and-answer session. 
Kevin Clark : Well, I just want to thank everybody for taking the time tonight with Cross Country Healthcare. We appreciate your confidence in the team and we look forward to inform you of our success throughout 2020. 
Operator: Thank you for joining. You may now disconnect.